Operator: Greetings and welcome to the Five Point Holdings LLC First Quarter 2021 Conference Call. Currently, all participants are in listen-only mode. As a reminder, this call is being recorded. Today's conference may include forward-looking statements regarding Five Point's business, financial conditions, operations, cash flow, strategy and prospects. Forward-looking statements represent only Five Point's estimates on the date of this conference call and are not intended to give any assurance as to the actual future results. Because the forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could affect future results and may cause Five Point's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described in today's press release and Five Point's SEC filings, including those in the Risk Factors section of the most recent Annual Report included in Form 10-K filed with the SEC. Please note that Five Point assumes no obligation to update any forward-looking statements. And now I would like to turn the call over to Mr. Emile Haddad, Chairman and CEO.
Emile Haddad: Thank you, Jenny. Good afternoon, everyone and thank you for joining us today. As you know by now, we are not the quarterly business. The timing of our residential land sales is driven by the velocity of home sales by our guest builders. We time our delivery of specific home size to builders to dovetail with the build out of similar products that they are building and selling. The new home sites are designed to accommodate replacement for the size of type or type of homes that have been sold out. This is one of the mechanisms we use to control supply, thus maintaining the integrity of home pricing and protecting our builders. This is why our sales in each of our communities happen once or sometimes twice a year. As such, our quarterly reports do not necessarily provide an ability to monitor market conditions or the performance of the company. We use the pace of home sales by our builders as a way to measure the strength of the market. And we view the number of cancellations as a change in buyers’ sentiment or difficulty in mortgage qualification. To that end, at the Great Park, the rate of sales has been over two acts year-to-date through April as compared to the same period last year, and the number of cancellations is very low compared to historical averages. More specifically, in the same period last year, our builders had approximately 162 net sales after 55 cancellations versus 339 net sales after just 16 cancellations. This feedback we are getting from our builders is that homebuyers are attracted to the quality of the public schools in our communities, the safety of our neighborhoods and the exceptional quality and number of amenities. Our fee-build program with the new home company is doing great. The rate of sales is approximately 300% from our underwriting and prices are above underwriting as well. We are nearing completion of the selection of builders for the next neighborhoods to be sold at the Great Park and currently anticipate completing the transaction in the second quarter of this year. The total number of home sites in this phase is expected to be approximately 850 with a mix of products like we typically sell. In the last year after over 17 years since the approval of this specific land for the project by the Los Angeles County Board of Supervisors, last week, our builders reported their first sales of the first phase with starting prices coming in above underwriting and a growing interest list in the hundreds. The first phase includes 1,268 homesites and is segmented into 18 products being built by five builders. This year buyers will be able to visit over 60 models to choose their preferred home. As a net zero energy and net zero greenhouse gas community, Valencia as being pointed to as the model of an environmentally responsible community. The wide range of market rate homes, coupled with the future affordable rate housing and the quality of public education provide a balance of social equity to this environmentally responsible community. A lot is being said about ESG these days, and every company is looking for ways to set goals in the areas of environmental responsibility, social equity and governance. For us ESG is in our DNA. Soon, we will be publishing our ESG report that highlights all of the environmental and social responsibilities, we have been pursuing for many years at our communities, as well as other information about our company. We are very excited to share with you all that has been accomplished and know that more is to come. In San Francisco, we are seeing activity by the Navy in its resampling of areas within Hunters Point. The Navy recently updated the schedule showing estimated dates for the completion of its regulatory assessment process and for the transfer of the balance of the parcels. We are cautiously optimistic that the revaluation process that the Navy must undertake will proceed now without further delays. To that end, we will continue to work with the City of San Francisco and other agencies to more clearly establish the timing of these land transfers and the phasing of the project. On our last call, we share shared with you that the issue of housing has moved up to the top of the priority list in the State of California and every city and county within it. As one of the largest owners of entitle residential land in the state, we have started engaging with some of our public partners about ways to help with housing requirements by potentially adding more homes in our communities. On the non-residential from almost three years ago, we made a decision to designate a significant amount of our non-residential entitlement to healthcare and life science focused users. Our partnership with the City of Hope has laid the foundation for that. The $1 billion cancer center is under construction at the Great Park and is anticipated to open next year. The three markets we have a major presence in San Francisco, Los Angeles and Orange County are now among the top markets targeted by healthcare and life science companies and capital providers. This reinforces the decision we made and we believe that with the proximity of housing, public education, open space and quality a number of amenities in our communities, we are positioned to be the location of choice to build a campus for these users. Last quarter, we thought about holding an investor meeting, which we had postponed last year due to the pandemic. Our original thinking was to have it virtually in June. However, in light of the announcement by the state to allow for everything to be open as early as mid June, we have decided to hold the meeting in person and have targeted for September 15. Bob Wetenhall will coordinate with you shortly in order to avoid any major time conflicts. And we will confirm that date with everyone shortly. Of course, we will get those who still want to participate virtually the option to do so. But we think that you all will be more informed by being able to see our communities in person. As we commented previously, the goal is to share more information in order to assist your understanding of the real value of the company. We believe that for a company like ours with elongated assets, the best way to look at valuation is the net asset value. We plan to share our calculation of the NAV at the meeting with approximately 2,300 remaining buildable acres in Valencia, where our current residential land sales are in the mid $2 million per acre and approximately 500 buildable acres at the great part where our current residential land sales are in the midst $5 million per acre. We are confident when we finish our investor meeting in September, you will share our excitement about the real value of the company. There's a lot of noise today about the state of California and the number of people leaving the state. I came to California over 35 years ago and I've been hearing about the demise of the state since then. Sure the state has a lot of issues to address, as a partner of the state and the communities in which we work, we will always bring perspective and help any way we can. California is the fifth largest economy in the world with a very diversified population. It is the epicenter of innovation, and the birthplace of many of the ideas that have changed the way the world lives and works today. For us, we know California, and California knows us. Finally, let me conclude by thanking all of our associates for all the contributions despite the top remote working conditions we are still operating under. It appears that we'll be ending shortly and I think we are all looking forward to seeing each other in person soon. Now, let me turn it over to Erik, who will report on our 2021 Q1 financials and we'd be happy to take your questions afterwards.
Erik Higgins: Thanks, Emile. A summary of our financial results was included in the earnings release issued earlier today and our 10-Q has been filed with the SEC and is available for review on our website. The consolidated results for the first quarter are as follows. Revenues for the quarter were $13.2 million, which were primarily generated from management fees. The net loss for the quarter was $21 million, after $19.5 million in SG&A expenses, and $3.6 million in losses from our own consolidated entities. While there were no land sales during the quarter, we continue to invest in inventory, which increased by $52.5 million during the quarter, primarily related to land development expenditures in Valencia. Our cash balance at the end of the quarter was $230 million, and we had no outstandings against our $125 million unsecured revolving line of credit. Our debt to total capital ratio was stable at 25.1% and our net debt to capitalization ratio, when taking into account our cash balance was 17.5%. In April, the maturity date on our $125 million revolver was extended another two years to April 2024.  Moving to the segment results, the company has four reporting segments, Valencia, San Francisco, Great Park and Commercial. The segment recall -- the segment results for the first quarter are as follows. The Valencia segment is consolidated for accounting purposes. The segment loss was $4.9 million for the quarter, and there were no land sales in Valencia during the quarter.  The San Francisco segment is consolidated for accounting purposes and recognized 94,000 in income for the quarter. The Great Park segment includes operations of the Great Park Venture, the owner of the Great Park neighborhoods, as well as the management services provided by the management company to the Great Park venture. We own 37.5% of the percentage interest of the Great Park Venture and 100% of the management company.  The operations of the Great Park Venture are accounted for under the equity method of accounting and therefore, the assets and the liabilities of the Great Park Venture are not included in our consolidated financial statements. The Great Park Venture is a self-funding operation with no debt and had a cash balance of approximately 155 million at the end of the year, which is not included in Five Point’s consolidated cash balance. The net loss for the Great Park segment was 10.9 million for the first quarter, which was comprised of approximately 1.6 million in income from the management company and a $12.5 million loss from the Great Park Venture operations.  The company's equity and loss from the Great Park Venture after adjusting for a difference in investment basis was 3.9 million for the quarter. We're currently working on our next round of land sales at Great Park neighborhoods, which we anticipate will close later this year.  We expect the cash proceeds from these sales and the ventures existing cash balance to result in distributions to the ventures partners sufficient to clear out the remaining 45 million priority distribution to the legacy interests and to commence distribution to Five Point's 37.5% percentage interest.  Our commercial segment includes operations of the Gateway Commercial Venture and management services provided by the management company to the Gateway Commercial Venture. We own 75% of the Gateway Commercial Venture and 100% of the management company.  The operations of the Commercial Gateway Venture are accounted for [Audio Gap]the assets and the liabilities of the Gateway Commercial Venture are not included in our consolidated financial statements.  Commercial segment income was 579,000 for the quarter, which included approximately 99,000 from the management company, and 480,000 from the operations of the Gateway Commercial Venture. Five Point’s equity and earnings from the Gateway Commercial Venture was approximately 360,000.  With that, I'll turn it over to Jenny, our operator for questions.
Operator: Thank you. [Operator Instructions] And we'll go to our first question from Michael Rehaut of JPMorgan.
Elad Hillman: Hi. Good afternoon. This is Elad Hillman on for Mike. Thanks for taking my questions. So first, I was wondering if you could provide some more details on the first home sales in Valencia last week, and the level of traffic and excitement that you're seeing from consumers in in that development? And then additionally, I was wondering if there are any production constraints in either materials or labour, is that the builders are facing to be able to deliver those comps? Thanks.
Emile Haddad: Thank you. Well, I think that the in light of the conditions we're living in, as relates to the sales process and the constraints of COVID-19. And the fact that you can't really conduct sales in a normal way, it's all by appointment and streamlining, it's really not easy to look at the process of the sales as the litmus test or the indicator of offenders. I think that's why I wanted to highlight the fact that what we're hearing from builders is that they're starting to compile a very, very long list of offenders from people. And I just talked to one of the builders about half an hour ago, and they're saying that the challenge they have is the logistics of making sure that that list goes through as fast as possible and can visit the models and make decisions quickly. So, if your question is, is that a high level of interest? The answer is absolutely, for a lot of reasons. One, LA County is one of the most constraint markets in housing, in the whole state. And there hasn't been really anything significant in terms of new products. And this is probably the largest opportunity to buy homes in this -- in the in the County, maybe historically, because as I said, you're going to have an ability to go and visit 60 plus models, which you know, practically speaking will take you probably about three days to do. So, there's a lot of interest, we -- our builders are excited. And the other indication is, typically we do not see the builders start, especially in the beginning of the masterplan community where everybody is looking for momentum, what we typically have seen is builders tried to be more conservative on the pricing of homes and come at a price that might be a little bit lower than their underwriting to just create the momentum. The fact that we have now our first sales coming above underwriting, speaks volumes, at least somebody like me who's been in this business for a long time in terms of the depth of that market.
Elad Hillman: That's great. And then in terms of the production side, any constraints to say?
Emile Haddad: No, we haven't heard any constraints, actually, the activity on site is pretty impressive. If you go see the amount of activity. What we hear from the builders, I'm sure what you're hearing, which is the pricing of plumber and some of the challenges that are coming from the disruption of the supply chain as a result of the COVID-19. But none of this has impacted the production and in the County, who we view is our partner has been extremely cooperative in terms of the process and everything else because everybody is looking at this as a big answer to the housing crisis that they have in LA.
Elad Hillman: Great, thank you. And just switching over to a Great Park. It sounds like there was even a sequential acceleration in the sales there. I think you've said last quarter 247 roughly net sales in late December through mid-March and then through this year about 300 net sales. So maybe just to get comments on the sequential strength. If it is essentially getting better -- if maybe some of that's related to seasonal trends. And then if you're seeing from the builders, they're looking to meter any of the sales pace or taking large amounts of price increases. Any comments on that increase?
Emile Haddad: Sure. So, I mean, I do not look at it as a seasonal, because we look at a season or the same season, same period. And we also try to look at it through the filter of pre-COVID-19 issues as well. This is not news unique to our project, because as you know, the housing market in general is a one of -- we're seeing some of the strongest housing markets right now, historically, driven by interest rates being where they are on the mortgage side as well as, what I always referred to, as the cocoon factor, which is the re-acquaintances of people with their homes. Those are factors that are driving housing. And the fact of the matter is, even before COVID, we had a major shortage of housing supply, which got even more aggravated during COVID. So, what we're seeing is really very much consistent with what the rest of the markets are seeing in terms of the strength of the housing market. So, what is probably unique and is worth highlighting is obviously, everybody is watching any uptick in mortgage rates, which has an impact on certain markets or certain buyers in terms of their ability to qualify or not qualify, or make the payment or not make the payments. We’re a little bit more insulated than a lot of these markets that might be sensitive to interest rates, because today our buyers are -- 35% of them, are cash buyers and the other 65% are putting on an average 35% down. And the median price, the great flog is about 1.2 million. So, that's a buyer profile that is diversified in terms of the product offering and their interest. But they're not as sensitive to movements of interest rates as a buyer in the tertiary market would be. So that's one thing that I think is worth highlighting. We highlighted the cancellation rate, because a lot of times people talk about sales, which obviously is a very important indicator of the strength of the housing market. But, for somebody like me, I've always watched cancellation, because I view cancellation as a leading indicator of any change in sentiment or a trend, mainly in the area of mortgage qualification. When you have as low as a cancellation rate, as we're seeing today, what it means that people feel good about buying that home. And a lot of it goes back to the second part of your question, because builders are pushing prices up. And builders don't want to end up missing out on that opportunity -- our buyers, I mean. But more importantly, that means that builders are qualified -- buyers are qualifying and being able to get mortgage. And those are two things that are very important for somebody like us, who is not building 50 or 100 homes. We have a very long runway, and trends become very important for us. So, I don't know if that helps you. But that's how I see where we are at the great part.
Elad Hillman: Great, thank you. I just wanted to clarify one thing there. I think you mentioned that cash buyers this time was 35%. I think last time you mentioned, they were 22%.
Emile Haddad: Last -- yes, the last information I got from the buyer -- from the builders, which was probably, I'm going to say about four or five weeks ago. We had 35% of the buyers are coming in had cash.
Elad Hillman: Great, thank you.
Operator: And we'll move to our next question from Stephen Kim of Evercore ISI.
Stephen Kim: Thanks very much, guys. Appreciate all the info. One of the things that we've been seeing recently, given the incredibly strong housing market is return to different kind of price discovery mechanisms, i.e. I'm talking like auctions and some cases, moving to like CL bids. And I know that's probably not what you're seeing at this juncture. But my question relates to whether you have a policy and/or intend to ever enforce some kind of a policy to restrict price discovering behavior by the builders and what your thoughts are basically around that kind of an approach to managing your communities a little bit more finely.
Emile Haddad: Stephen, nice to hear from you as always. The answer is no to policy, but we have a long memory and we have communities where builders wasn’t to make sure that they do not disrupt a program that I going to be long-term program that's meant to be homeownership and not speculators. And as such, I mean, I think that we have a relationship with our builders, that doesn't require a policy by us, because it's them who are selling their homes, that they understand very well that we spent a lot of time, a lot of money, and a lot of focus to make sure that our communities are not communities of speculators. I can share with you that one of the things I do to see whether we are seeing some trends are looked at or not, is I often enough, will take a drive through the community in the evening, and see if the lights are on and because our driveway or a good percentage of the homes are dark. It's probably in my opinion, the best way to see if you have people who are investors or not. But we don't have a policy, Stephen and I -- neither should we, but we haven't seen it, we are not seeing any of that and so far, even when it was happening back in the days. In our massive black communities, we didn't see it to the same level as same standalone tracks were seen.
Stephen Kim: Yes, that's helpful. Yes. And thanks for addressing the investor side of it as well. One of the things that I've wondered about in this incredibly strong housing environment where builders are seeing an acceleration in the pace that they are able to sell at, in addition to price is what your thoughts are about pacing your way through your long-term community. Is it your view that -- relative to let's say a year and a half ago, that it will be your desire to maybe move through -- I'm talking specifically Valencia, by the way, move through the project in a more shortened timeframe? The residential portion or even a portion of the residential portion, accelerate on an accelerated timeline? And if so, how is that actually -- what decisions are you making with respect to infrastructure and the timing of major cash outflows to fund that?
Emile Haddad: Well, now you're asking about the secret sauce of the company and let me tell you, the answer all things aside. We have to look at more than one constraint when we look at this and more than one opportunity. First of all, in master plan community like this, especially in the beginning of it, infrastructure and the speed of providing the infrastructure to open up new areas is really critical, because you are putting a lot of infrastructure upfront, that is a way -- that's going to help open up a lot of phases in the future as you are building a city. And you might not have the luxury to put that infrastructure in at the same speed as you would like to and open up more areas, but the reality is what we tend to look at is avoiding any cap cannibalization by the builders, and therefore we spend a lot of time as you know, on making sure that we slide in as many products as possible with the segmentation. And when you look at today, 12,168 home sites in the first phase being segmented into 18 products, that's as far as you probably can go without starting to provide a product that's going to start cannibalizing another product and therefore, destroying the long-term prospects of value creation out of the land. Our land is replaceable. And the thing that I think will hurt us the most is, if we – if we focus so much on speed and end up discounting per acre, because that actually has a bigger impact. So you have to always optimize by finding the balance. Having said that, you know, today, we feel very comfortable that between the floor of pricing that exists in Valencia, and the ceiling of pricing that we are comfortable with, which typically as we hit 40% of median home price as a floor, and about 170% as a ceiling, between the floor and ceiling, we were able to put to slide in 18 different product types with five builders and feel very comfortable that that's going to actually be optimal. Now, what will happen though, is as the market moves and as the committee established itself, we will start seeing an opportunity to push the ceiling a little bit more and get something more on top, which if you – you've being following us for a long time, we've done that with Toll Brothers and even going back to the Dakota, the government base or here, where we now start looking for somebody who's comfortable to go above – above and start looking at the products above. And we started looking at products on the lower side, that is more higher density, as well as potentially apartments, which is really what our focus right now is at the Valencia is to start looking at, bringing apartments to the market, and therefore absorbing some of the land by having an apartment program. So that's really what we try to do. I would say, where we are right now in Valencia, knowing that we have 21,000 homes ahead of us, the most important thing is lay the foundation properly. And then the market will allow us to do what we need to do. But we're going at an optimal space, I wouldn't say at the highest space maximum. Because the way we look at these things is optimization, not maximization.
Stephen Kim: So that's very helpful. Thanks for me all for that. So, as we look ahead over the next five years, let's say, take that kind of a horizon, in Valencia, would it be your expectation that there might be a point in time, where there would need to be a net cash outflow, a meaningful net cash outflow, that would outstrip the pace of cash inflows from residential land sales, in an attempt to sort of maintain or maintain a higher level of velocity maybe than you initially envisioned? You know, such that you would need to sort of have a bulge in the infrastructure development and the cost associated with that. So that you would be generating significantly negative cash flow in sometime within the next five years?
Emile Haddad: So, I would say that, a lot of the infrastructure that is global in nature, we call it, which is the infrastructure that is meant to open-up other areas has been growing. And since we started development in October of 2018, I think is when we started or 2017. And so a lot of it is already the end. And that's why we want to have the investors meeting in-person. So, all of you can see with your eyes, the amount of development that's been taking place. What we have -- what we expect to see in Valencia is not really anything different than what we have seen at the Great Park, because that is the evolution of our master plan communities. We put a lot of money in the ground and in the Great Park, we started development in 2013, we put a lot of money in the ground. And then, we turn the corner to a positive cash flow. And over the last, few years, since I think 2017, or 2016, we have made distributions of a billion dollars. That's after all the money that we invested in the project, and you've seen some of the amenities we built. So the Great Park today is a big cash flow positive contributor. And a lot of distributions are being made. And as Eric highlighted, we'll be making some major contributions to even retire a $470 some million legacy distribution that we had since 2017.
Emile Haddad: Yeah.
Erik Higgins: So Valencia is going to follow the same way. For the last two years or three years where we spent a lot of money, we started having sales, we started now generating revenue. And we expect that over the coming couple of years, we will find that balance and then all of a sudden, you're going to start seeing a major positive cash flow. That's what we expect to happen, assuming the market stays good. And we don't have a correction in the market. Our expectation is that, Valencia will become a very big contributor to positive cash flow for the company. I'm going to say, sometime in the 2023, 2024 period we will start to turning that corner.
Stephen Kim: That's great. Yeah, I'm really looking forward to seeing some of these projects again. So I'm glad you guys decided to do an in-person. So thanks a lot, guys.
Erik Higgins: Thank you, Steve.
Operator: And we'll go to our next question from Alan Ratner with Zelman and Associates.
Alan Ratner: Hey, guys, good afternoon. Thanks for taking my question. Emile first question, last quarter, you indicated that you were starting to have some conversations with the board about crafting a strategy for potential build for rent product within your communities, that segment of the market seems to be all the rage these days. And I'm curious, if you have any update there, whether it's going to see a Great Park and any other projects in terms of where that might go?
Emile Haddad: Well, we haven't really -- I don't have an update, because we haven't had a board meeting probably soon we thought to go into that discussion. However, having said that, we are -- as I said, we are right now in the process of evaluating some part of that the in Valencia to build apartments. And that's our starting point. You understand what happens in Valencia is most of the people who are buyers right now will gravitate to more of the lower density products. And I think that it would be a mistake to introduce a for rent program. Yes, that is not your typical apartment. So the answer question is, yes, we shared with our words and we have the full intention to start testing the apartment market out there. I don't think that there's anything new, if you're thinking about the single-family detached for rent, if I'm going to find it difficult for us to really find that way, because our homes are not -- our homes are expensive. And when you start talking about the Great Park, for instance, where the median home price of $1.2 million, that's typically not the home that somebody who wants to rent is looking at. And even in Valencia, when you're looking at something that's going to start pushing $700,000 for home might not be, but, look, it's well enough to know, Alan, that we explore everything we look at everything. But I can't tell you that I've gotten excited about a for-rent program except for apartments.
Alan Ratner: Got it? I appreciate your thoughts on that. Second question, I think you did this maybe in a small scale on your Valencia lot sales. But, when you look at what the homebuilders are doing on lot acquisition, clearly, there's a lot of interest in keeping as much off balance sheet as long as possible. And I know, you're delivering effectively finished lots to builders, so it's not like they're necessarily sitting on the balance sheet for a while. But I think you did option some lots to builders in the last round. I'm curious, as you embark on the next round in the Great Park, whether there's any conversations about doing that at integrator scale there and if kind of land banking, in general, could potentially be a growth opportunity for the company.
Emile Haddad: Yes. As we -- I think we shared last call that we have already put in place land bank. And we have builders who have taken advantage of our land bank at Valencia. So we have a land bank in Valencia that's dedicated to land bank. We’re a 10% participant in it. 90% of that is coming from a capital provider. And it's a program that was put together, not because necessarily of the return on the 10% investment we have, but it's another way to accommodate our builders, as we started looking for work the pressure points are. And as you said, we deliver finished home sites. We pretty much give them the product. We put all the amenities ahead of time. And because of my previous life experience, we always anticipated that there's going to be a point in the cycle when builders start feeling pressure on the balance sheet, especially with expensive land, like our land. So we put together the land bank, and it's up and running, and builders have taken advantage of it. And we are going to have the same exact program at the Great Park and we already know of builders who are taking advantage of the land bank to put the land bank. And then it's your typical land bank, the builders -- the land bank buys the land from us as a land company, the land bank holds the land and have a contract with the builder, where the builder puts up a certain amount of deposits and has a commitment to take down a certain number of home sites periodically. And the land bank charges somewhere between, typically 9% and 9.5% percent interest on that. And that's a program that's worked very well for us in Valencia. And it will be exactly the same one here at the Great Park.
Alan Ratner: Great. Yes. Thank you for that detail. And final question, I apologize if I missed this. But I believe you had estimated the distribution from Great Park that that you anticipated this year to be roughly $100 million. I just want to make sure that that's still the current estimate.
Emile Haddad: Yes. And if you recall, I said that and then I said, Erik is giving me the evil eye, just not because of anything, its just because -- I said that because all kind of -- I mean, it will be what will be variable to a certain extent, nothing major, will be how much do we want space in prebuild, like we have done with the New Home Company where we decided to the prebuild and as I said it's gone really good. And we are looking right now as a repeat of that in the next takedown or next sales at the Great Park. So if we decide to set aside some of the distribution or some of the capital within the Venture to -- because that's the deal that was done within the Venture to go ahead and take advantage of the fee build opportunity, or the Landbank, those are two things that might seed cash within the Venture to reinvest it. And that's why Eric was looking at me that way. But the fact of the matter is, I think that the $100 million is still a good number, and I think you should look at it as a good number.
Alan Ratner: Perfect. Thanks a lot. Good luck guys.
Emile Haddad: Thank you.
Operator: And we'll go to our next question from Ken Hansen of Stifel.
Ken Hansen: Good afternoon, gentlemen. Once again, for full disclosure, I'm a CFA, but I'm representing myself as a shareholder, not the Stifel research department. I think it's a great idea to have that September 15th meeting in person, because I'm not sure that you get credit from the investment community -- investor community for what you've built out there. I know homeowners are giving you credit because they're eagerly buying the product that's there. But I don't think unless you're on site and walk the trails and interact with the ball fields in the hockey rink, and those sorts of things that you really can appreciate how high quality of a product you've developed and designed. Add that experience on site with the little bit of help with a net asset value calculation for the rest of that product plus the rest of your development, I think you'll be at a turning point for investors realization that this is a fantastic opportunity. One thing I'll mention, because it is about the details and the product, and I'm on your on your Great Park site at least once a week. And I visited there last week to play beach volleyball. So one comment, if you go there and -- Emile you drive around occasionally, you might drive around and see that the beach ball -- beach volleyball courts, you have tables nicely positions and then chairs, you'll notice that all the chairs are on the ground. And the reason is not because the women move them over, because there's substantial chairs or that some juveniles knock them over, it's because in the design of that product of those volleyball courts, three sides in the volleyball court have land that descends from the surface of the court. So people are chasing balls all over the place. And so what they do is they put these, they take the chairs you have made available nicely, and they use them as a barricade so they don't have to go a quarter mile to get the balls out of parking lots. So just a small thing, and I know you're about small things. And when people come to take the tour, I don't want them to think that there's something going on, it's not going on. So simple -- some solution that your people can come up with that keeps the volleyball somewhat contained, would prevent us from having to chase those around, and go into traffic and such. So that's my only request. Outside of that the amenities are spectacular. Irvine is -- and I don't know that people know this about Irvine, but is consistently annually, one of the safest cities of its size in the United States. The schools are world class. You definitely have a diamond there that you're polishing and I hope that the rest of the investment community can see that when they show up on September 15.
Emile Haddad: First of all Ken, it's nice to hear from you again, and I truly appreciate your comments. I hope that after September, as many people as they go, they will all have the same excitement that you have about, what we want to build over that and what we do. And yes, you are 100% right. I am about the small details because at the end of the day, I am a big believer that if you pay attention to the details, people will know how much hard you have and what whatever product you build. And just to tell you that, I don't only drive around, but I walk around. Probably about two years ago, I was walking around with a suit and a tie on a on a warm day. And I think, I might have been walking somebody to proudly show them, what we're working on. And I had to chase one of these bowls of the sand volleyball and I went down and running after it, which I realized I am too old to try to sprint. But all kidding aside, I mean, I was talking to some of the players over there. And one of the issues that they raised was one, the descending slope and the balls running and chasing the world, and to the fact that they thought that there could be a need for more sand volleyball courts as such. And as you know, we have built the facility, but we have delegated that and give it to the city. So, we don't have the operational right to do anything over there. But I can tell you that, we are working with the city now on plans to add, I think about three additional sand chords and deal with the issue you just highlighted in a way that doesn't take chairs and block the ball. So, COVID has delayed some of the thinking, but I can assure you that even as small as the detail he just highlighted, it got -- it has my personal attention.
Ken Hansen: Fantastic. And I think, the rest of the project shows that, so I -- and I think, even looking at the major trees that you saved and salvage from the old base, and replanting is just a reflection of that attention to detail. So, I look forward to that September.
Emile Haddad: We look forward to meeting you in person as well. Thank you, very much.
Operator: And with no other questions in the queue at this time, I would now like to turn the call back to Mr. Emile Haddad for any additional closing remarks.
Emile Haddad: Well, again, thank you all for sharing your time with us today. I am glad that we are starting to look at a light at the end of the COVID tunnel. And hope that next time we talk, the situation will be much more stabilized. We really look forward to seeing you all in September. And as Ken said, I think that it is it will be worth your while to come and see these things in person and be able to get to know this company a little bit more than just financial reporting. And lastly, as I look at the screen and see the amount of associates who have taken the time to dial in and listen to us, tell the world about their effort. I want to thank you all for everything you do out there and for being on the call today. Thank you, very much until next time.
Operator: And that does conclude the call. We would like to thank you for your participation. You may now disconnect.